Operator: Ladies and gentlemen, thank you for standing by. I would like to welcome everyone to the Fourth Quarter Full-Year 2023 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now hand the call over to Mr. Bret Eckert, Executive Vice President and Chief Financial Officer. You may begin your conference.
Bret Eckert: Thanks, Bhavesh. Good morning and welcome to the Encore Wire Corporation Quarterly Conference Call. I'm Bret Eckert, Executive Vice President and Chief Financial Officer of Encore Wire. With me this morning is Daniel Jones, President, CEO and Chairman of the Board. Before we begin our comments, we'd like to remind everyone that today's earnings release and certain of our comments on the call include forward-looking statements and actual results may differ materially from such forward-looking statements. I'd like to refer everyone to the cautionary language included in our earnings release and to the risk factors described in our SEC filings. I'll now turn the call over to Daniel for some opening remarks. Daniel?
Daniel Jones: Thank you, Bret. Thank you, Bhavesh. Good morning, everyone. Thank you for joining us on the call and for your interest in Encore Wire. We appreciate your continued investment, confidence and support. Over the past several years, we have invested and continued to invest in improving our service model and efficiency levels to reduce cost, increase capacity, and deepen our vertical integration. We believe these investments have strengthened our ability to compete today and should contribute to higher gross margin levels when compared to pre-COVID baselines. We experienced increased copper wire and cable demand from mid-2023, which continued through the fourth quarter. This resulted in us shipping a record number of copper pounds in the fourth quarter, representing the strongest volume quarter over the course of the full-year. Specifically, copper pounds shipped in the fourth quarter grew by 5.9% over the third quarter of 2023 and grew by 18.8% over the fourth quarter of 2022. These results represent a positive shift in volume shift when compared to a pre-COVID baseline. Copper and aluminum pounds shipped in 2023 increased by 21% and 74% respectively when compared to 2019 levels. We captured this demand by leveraging our single site, vertically integrated campus, deep supplier relationships and motivated workforce to quickly manufacture and ship finished goods to our customers despite the macro challenges facing the sector. The strong performance is also a reflection of our steadfast commitment to outstanding customer service and our constant focus on quickly shipping complete orders combined with our expanded reinvestment initiatives such as the XLPE compounding facility that was substantially completed at the end of the third quarter of this year. Since our inception, we have grown organically under the same value proposition that we were founded on, manufacturing innovative products while providing exceptional customer service centered on quickly shipping complete orders coast to coast. We believe our focus on fill rates continues to provide a competitive advantage in the marketplace. We also believe that our one location business model affords us a higher level of agility in adapting to changing market conditions, structuring our operations to quickly service areas of new and growing demand such as data centers and renewable energy, while servicing our core market segments. As noted above, demand for our copper wire and cable products remains strong in 2023 and our build to ship model combined with the throughput of our modern service center positions us well to compete for future demand. We believe that we have made and will continue to make appropriate, sustainable investments to meet future demand, will facilitate the broad electrification of our economy. Additionally, we believe that the current federal legislation providing funds for the infrastructure needed for broad electrification should bolster demand for our products. We firmly believe that our historical, recent and future success is a direct reflection of our unique culture and the strength of our experienced team. We also believe that our one campus location, deep vertical integration, strong supplier and customer relationships and our ability to quickly shift complete orders will remain critical differentiators in our future success. With that, I'll now turn the call over to Bret to cover our financial performance in the fourth quarter. Bret.
Bret Eckert: Thank you, Daniel. Fourth quarter and full year 2023 highlights include fourth quarter earnings per diluted share of $4.10, full year 2023 earnings per diluted share of $21.62. Fourth quarter net income of $66.1 million, full year 2023 net income of $372.4 million. Fourth quarter gross profit of 21.5% and full year 2023 gross profit of 25.5%. Fourth quarter copper unit volumes were up 5.9% over the third quarter of 2023. Fourth quarter copper unit volumes were up 18.8% over the fourth quarter of 2022. And on a full year basis, it was up 6.7%. We had $560.6 million of cash on hand at the end of December of 2023 compared to $730.6 million as of the end of December 2022. Capital expenditures of $164.5 million in 2023. We repurchased 476,300 shares in the fourth quarter of 2023, repurchased 2,661,792 shares for the full year 2023. Total cash outlay for share repurchases of $85.1 million in the fourth quarter of 2023 and $460.2 million in the full year of 2023. There is a share repurchase reauthorization that was approved by our Board for the repurchase of up to 2 million shares of the company's common stock through March 31st, 2025. As Daniel mentioned, we experienced increased copper wire and cable demand from mid-2023, which continued through the fourth quarter. This resulted in us shipping a record number of copper pounds in the fourth quarter, representing the strongest volume quarter over the course of the full year. In addition, for the first time in at least our recent history, every quarter in 2023 showed copper volume growth over the sequential quarter in the current year. The decrease in net sales dollars in both the fourth quarter and year ended 2023 was driven by an anticipated decrease in the average selling prices in the current year periods compared to the prior year periods, which is consistent with the gradual margin abatement we have been discussing since mid-2021 that was offset by increased copper volume shift in the current year that were just highlighted above. Gross profit percentage for the fourth quarter of 2023 was 21.5% compared to 23.3% in the third quarter of 2023. The average selling price of wire per copper pound sold decreased 3.2% in the fourth quarter of 2023 versus the third quarter of 2023, while the average cost of copper per pound purchased decreased 1.2%. This resulted in the continued gradual, albeit slowing in abatement of copper spreads during the quarter, primarily driven by the decrease in average selling prices noted above, partially offset by decrease in the average cost per copper pound purchase, which resulted in the decreased gross profit margin in the fourth quarter of 2023, compared to the third quarter of 2023. Aluminum wire represented 9.9% of net sales in the fourth quarter of 2023 and 12.9% of sales on a full year basis. Aluminum volumes in the current quarter were effectively flat compared to the prior year quarter and down slightly on a full year basis in 2023 compared to 2022. We believe the earnings in the fourth quarter and for the full year ended 2023 were strong and remained significantly above historic levels. This is a testament to our organic growth strategy, one location business model, historic and recent reinvestments in the business and our hardworking employees, all driven by a culture of constant attention to detail and continuous improvement. At a macro level, persistent tightness in the availability of certain raw materials, ongoing global uncertainties and the continued suppressed availability of skilled labor kept overall margins elevated in the fourth quarter of 2023. Our balance sheet and cash flow generation remained strong. During the quarter, we repurchased 476,300 shares of our common stock for a total cash outlay of $85.1 million. Since the first quarter of 2020, we have repurchased 5,634,069 shares of our common stock and have returned almost $785 million in capital to shareholders through share repurchases and dividends. Incremental investments to deepen vertical integration in our manufacturing processes as well as other projects focused on driving efficiency and increasing capacity should continue to improve our service model. These types of organic investments have fueled our growth since inception and position us favorably to continue to compete in the future. In 2022, we began construction on a cross-link polyethylene XLPE compounding facility to deepen vertical integration related to wire and cable insulation. XLPE insulation is used in many applications, including data centers, oil and gas, transit, wastewater treatment facilities, utilities, and wind and solar applications. As Daniel mentioned, the new facility was substantially completed in the third quarter of 2023. Capital spending in 2024 through 2026 will further expand vertical integration in our manufacturing processes to reduce costs as well as modernize select wire manufacturing facilities to increase capacity and efficiency and improve our position as a sustainable and environmentally responsible company. Total capital expenditures were $164.5 million in 2023. We expect total capital expenditures to range from $130 million to $150 million in 2024, $130 million to $150 million in 2025 and $100 million to $120 million in 2026. We expect to continue to fund these investments with existing cash reserves and operating cash flows. I will now turn the floor over to Daniel for a few final remarks.
Daniel Jones: Thank you, Bret. Our ability to capture the demand we experienced in 2023 and deliver unmatched speed and agility in servicing our customers is a testament to our single site build a ship model and important competitive advantage. It also positions us well for the future. The opening of the new service center in May of 2021, the opening of Plant 7 in third quarter of 2022, the new XLPE facility that opened in the third quarter of 2023 and the other capital projects under construction or planned should provide us the capacity and efficiency to remain competitive in the future. Our unique business model continues to serve us well in current market conditions and remains a competitive advantage, giving us unmatched operational agility and speed to market in serving our customers evolving needs. Despite persistent tightness in the availability of certain raw materials, our supplier partners continue to uphold their commitments to Encore. We wouldn't have this level of success without the consistent, exceptional performance of our suppliers. Looking ahead, we remain focused on executing upon the core values of our company, unbeatable customer service, nimble operations and quick deliveries coast to coast. I remain confident in the strength of the Encore team in place as we stand ready to navigate any challenges that line our path. I want to close by thanking our employees for their hard work and commitment to safety, quality and excellence. Our continued success would not have happened without their outstanding contributions. Our strong financial results have allowed us the opportunity to incrementally invest in our team as we position Encore as an employer of choice in the sector. I also want to thank our dedicated independent reps and our valued distribution partners for their continued support. Lastly, thank you to our shareholders for their confidence and investment. We'll now take questions from our listeners, Bhavesh.
Operator: Thank you very much, sir. (Operator Instructions) Our first question comes from the line of Julio Romero from Sidoti & Company, LLC. Please go ahead.
Daniel Jones: Good morning, Julio.
Julio Romero: Thanks. Good morning, Daniel. Good morning, Bret. How are you guys?
Daniel Jones: Great.
Julio Romero: Excellent. So I guess I'll stick to the operator instructions. Just -- I guess the one question I'll toss here is this. On volumes, really impressive volume output here in the fourth quarter. Can you maybe speak to what product lines drove the increased volumes where you are with regards to capacity utilization?
Daniel Jones: Yeah, the commercial market was pretty strong. We saw some healthy increases in individual jobs like hotels, government office buildings, data centers, that particular product category is somewhat broad. It also, comparatively speaking to residential or industrial, is our biggest piece. Pretty strong overall geographically with that product category as well. We are expecting and seeing or saw some positive signs on the residential side. And then the industrial piece also was doing very well for us.
Bret Eckert: Yeah, Julio, the only thing I'd jump on, on that is I think a lot of the strength you saw in the volume does align well with our service model. We really got back to our swagger early in 2023. Quick order to ship, very high, high order fill rates. And that service level is allowing us to continue to be competitive with those orders, but also to get some incremental demand during the year.
Julio Romero: Okay, excellent. I'll hop back in queue. Thanks very much.
Operator: Thank you. Our next question comes from line of Chris Moore from CJS securities. Please go ahead.
Chris Moore: Hey, good morning, guys.
Daniel Jones: Good morning.
Chris Moore: Great quarter. If my math is right, I think the SARs impact was probably in the $0.20 range, so would have been even better. But maybe just a little bit on market share. So, obviously you guys picked up share over the last few years, your lead times are shorter, managed the supply chains better. There is less -- now that supply chain issue got away, let's talk about there. So, it still looks like you're picking up share because of the quick turn model. Competitors -- big competitors are private, so don't see their numbers. But given your volumes are up 19% year-over-year on Q4, fair to assume that industry volumes were not up that level in Q4.
Daniel Jones: It's a great question, Chris, and you alluded to it the right way. I mean, everyone's private but us, right. So it's really all anecdotal, right. I do think, as I mentioned to Julio's question, our service level today has never been better and we're able to turn these orders very, very quickly. Given the continued shortages of skilled labor, it's very disruptive of a job site. If you have to get your load in four, five or six different deliveries, the last delivery may be the one real you need to start the process. And so being able to ship these orders complete very quickly is a differentiator. I think it's a good assumption in your part. I think there's clearly some growth, I think, in the sector and I think there's some piece of that, that likely is taking share because of our service levels. But keep in mind, it's always one order at a time, right, continues to be a very price sensitive. Service is making a difference from our side of the fence and that's really what allowed us to take on orders. From a capacity standpoint, we definitely have the capacity to continue to serve orders at these levels. And from that standpoint, '23 was a fantastic year consistent from a volume perspective.
Chris Moore: Got it. Maybe I'll just try to sneak one more in here. Obviously, the big question -- or one of the big questions continues to be where gross margins will normalize. I guess, the question is, what are the puts and takes that you could reach a bottom in gross margins in '24?
Daniel Jones: That's a tough one. You tell me the price of copper and I can tell you how much we're going to make, Chris, right. And that really why we don't give guidance, right. I think, as Daniel stated, we've seen slowing abatement. I mean, if you just look at the fact that we talked about from the third -- from the fourth quarter to the third quarter, a 3.2% decrease in the average sales price and a 1.2% decrease in the cost of copper pound purchase. If you look at the third quarter compared to the second quarter, ASP was down 4.3 and the cost was down 2. So you can see that gap is kind of closed. The abatement still is on the ASP level, right. Copper plays a big piece of it, right. We had a pretty supportive environment at copper in the fourth quarter, right. We hit our low, I think, for the year at about 354, 355 early in October. And it steadily rose as you kind of went through the quarter and it peaked at 394 I think on the 28th of December. And so you had a building environment of copper, which is always an environment that we like. And -- so that kind of plays a role in it. We've made a lot of investments over the last several years, right. And those investments I do think are paying dividends and obviously that impacts margin. Some of the other material costs that were up in the pandemic navigated down somewhat as you went throughout the year. And so that has a benefit to it. So there's so many things that go into it. Everyone's looking for where the bottom is. We're trying to -- we're competing one order at a time. And if we do a great job all day, put five of those together, we got a good week and four of those make a good month. And that's really what this business is. It's still going to be very competitive, one order at a time and it's going to be a penny's business as far as making sure you run your operations as tight as you can.
Chris Moore: All right. I appreciate it. I'll leave it there. Thanks, guys.
Bret Eckert: Thanks, Chris.
Daniel Jones: Thank you, Chris.
Operator: Thank you. Our next question comes from the line of Brent Thielman of D.A Davidson. Please go ahead.
Brent Thielman: Hey, thanks. Obviously outstanding volume this quarter. You've had a lot of initiatives the last few years that have enhanced the capacity. I guess, Daniel, is there a way for us to think about capacity utilization as the fourth quarter goes? Is that as good as it can get from a volume perspective or is there still a lot of excess capacity in place right now that you could deliver over and above if the conditions were obviously there?
Daniel Jones: Yeah, the team has done a fantastic -- good -- I appreciate the question too, Brent, and the call. The team has done a fantastic job of evaluating bottlenecks as the market demand kind of ebbs and flows a little bit from one product category to the other. But also without getting too deep within those product categories, there's also ups and downs on the demand side. Some of the customization at these data center jobs with the additional AI demand that tacked on quite a bit of an increase in the volume piece at those specific job sites. The team sorted those things out. We built in flexibility and that's a long answer to your question of we have quite a bit of space left. We are using quite a bit of the equipment super efficiently. We designed it to stop and start and to react and kind of have a build to ship model because again a lot of this demand is one off custom type specific products with the core being aluminum and copper balls, more copper than aluminum. And as Bret mentioned, it moves constantly, but we've built this place on speed and agility over the years and grown with it. I'm never comfortable taking an order that we can't ship, but that's a comma, not a period, why can't we ship it? So we're constantly addressing the capacity question. I'd rather have the equipment come in and sit and use it when we need it, rather than coming up short and missing that service mark. As you know, you heard the story enough, but we've got plenty of space on the capacity side to continue to grow in those categories that we mentioned earlier in the prepared remarks.
Brent Thielman: Okay. If I could just sneak one more in, sorry. Daniel, how would you evaluate sort of spreads and pricing through the course of the quarter just from the standpoint that you did ultimately see some volatility in copper prices through the quarter? Any -- even qualitative comments you can offer in terms of how yourselves and the industry have reacted to that?
Daniel Jones: Yeah, very fortunate in the quarter for the most part. The low for copper in the quarter on COMEX was pretty early on in October, around 350 something -- 354-ish, I think it was. And then it grew in November and it increased a little bit more in December, which is a good rhythm to have going into the end of the year. There was about a $0.40 per pound increase from the low in the quarter to the high. With that type of volatility, which is significant, I'm glad that you brought it up. As long as the timing meets the end of the month and the start of the next month and it flows from low to high through the quarter, we're able to have success with price increases in the market. And again the timing of being able to turn the inventory every month, if you will, maybe every 3.5 weeks today, allows us that flexibility and then when we have that agility to take in those ebbs and flows and the ups and the downs and the special orders that come in and still be able to ship the way that we ship through the quarter, we're able to sustain, if you will, that spread rather than reacting to maybe a competitor's idea of attracting attention by cutting the price. I know I'm not supposed to go too deep into price and I can see on the list, on the screen, we've got most of our competitors on here, so I should probably just leave it at that.
Brent Thielman: Fair enough. Thank you, guys. I'll get back in queue.
Bret Eckert: Thanks, Brent.
Daniel Jones: Thank you, Brent. Appreciate the help.
Operator: Thank you. Our next question comes from the line of Alfred Funai of Barga LLC. Please go ahead.
Alfred Funai: Good morning, gentlemen, and thank you for this call this morning. You've noted that the cross-link polyethylene compounding facility was substantially completed in the Q3. And then now it's moved into a startup and optimization phase. Can you share your expectations for 2024 in terms of potential cost savings or other benefits that will be coming from this new facility?
Bret Eckert: Yeah, Alfred, that's smart. I appreciate the question. This is Bret. It did -- we completed the facility at the end of the third quarter. You then move right into, like you said, kind of commissioning and startup. And that's the process, right? It's a process and you're still utilizing some of your purchased cross-link polymer as you get the facility up and running. And then once you get it fully up and running, the optimization phase comes in. And I've talked a little bit about that, right. Not -- right now, it's a one size fits all, but not every one of our XLPE insulated products are going to require like a fire retardant, for instance. And so as you start to optimize, you can create different grades of XLPE to make sure you're not putting in something within that that's not necessary or called for and that's not inexpensive and that's the optimization piece. As I said before, I think it's a 9- to 12-month kind of startup and optimization. I think so as you get into maybe the third quarter of 2024, we'll be going through that process. And then at that point, you're going to start to see those benefits trickle in. So it's not going to be like flipping a switch, right? You're going to be gaining a little bit as you go through, but it's going to be in the second half of '24, I think, before you start to see the full benefit of that investment.
Alfred Funai: Okay, thank you.
Daniel Jones: Thanks, Alfred.
Operator: Thank you. We have a follow-up question from Julio Romero from Sidoti & Company, LLC. Please go ahead.
Julio Romero: Hey, guys, thanks for taking the follow up. As we look to '24, kind of how do we see the cadence of volumes trending? I know you saw this kind of sequential quarter-over-quarter ramp in '23. Does '24 follow the same path or do you kind of more -- expect a more traditional seasonality of construction kind of cadence?
Bret Eckert: No, I can't touch that, Julio. I mean, it's an interesting. You can see the trend in '23. We've never had that trend before. I think if you unpack '23 a little bit, right, you went into the year with a lot of pontificators and a lot of doom and gloom, right. And so as people landed in, we did see and we talked about this in our first quarter earnings call a destocking at the distributor level in March and it trickled into April, right. And we talked about in the call that at the end of the day, we're glad we got that piece behind us. And then once you do that, a distributor really has to align with a supplier that they can count on. And that plays right into our service model. When you typically see the distributor is build back up their inventories or build up inventories into the summer months second and third quarter, they then have to go through a level of destocking and they'll take those down by the end of the year. And that has some effect on the ebb and flow between the quarters that you typically seen. Because they took them down and never really built them back up significantly, we weren't impacted by that drawdown of those inventories in the fourth quarter. I think our service model is still a differentiator, right. We had a somewhat supporting copper price in the fourth quarter, as Daniel talked about, a $0.40 move within the quarter is significant. And that helps a ton with regard to our ability to service the market very quickly. So I think it's everything you talked about. Now, what you can look to for '24, that's very difficult to see. You've got an election this year. You had inflation data that came out a little hot in December and everyone's trying to digest the rate cuts. Again tell me what copper is going to do and I'll give you -- I give you a better sense, but it's hard to take one from the other. I think you just look at the trend and what was accomplished in '23 and we'll see where it takes us as we get into '24.
Julio Romero: Fair enough, there. And then, Daniel, you talked about the success the team has had in terms of kind of evaluating bottlenecks and alleviating those bottlenecks. And you also mentioned you got plenty of machine capacity. I guess, if you will, I guess what would be the biggest bottleneck kind of left on the table? Would it be labor or would there be another kind of factor there?
Daniel Jones: Yeah, good question. The labor piece is still a challenge. It was certainly significantly better in '23 toward the back end versus the way we started the year. When we look at numbers specifically related to '23 in the hiring and the onboarding piece and the expense that goes into all the pre-employment testing and what have you and training versus '22, huge improvement. The quality of the candidates significantly better. We've had 30 some odd years of hiring folks with never having a layoff in that process. As long as we're doing the things, we think we learned coming through COVID. They seem to be working in our favor at this point. The labor piece is manageable. It's not as severe and as bad as it was. It's certainly a lot better. Freight came in quite a bit better. A lot of the bottlenecks that we were maybe whining a little bit about have kind of cleared up. On the construction process itself, great team members, Hill & Wilkinson, Potter Concrete, Humphreys Electric, Hindon plumbing, Cold Services, Anchor, Sterling, those guys really did a fantastic job for us on getting these buildings up and ready to run from a quality perspective. And it's the A team, which we like to wait on and require in our projects, but couldn't be happier with all of it. Don't really know of a significant bottleneck. That's in front of us right now. Other than all the hype and the talk that goes into the political atmosphere, we have no control over whatsoever. The things that we have to say in right now Julio, I think we've got a pretty good handle on. We've got the right guy or the right girl with backups in each spot. And the momentum that you were talking about in '23 for us anyway certainly has not been a let up starting off this year. We're just anxious to see where this copper thing ends up. Super tight. Around three day’s supply above ground in the world. It's an incredibly tight situation, It's fun. It's a robust market. We're having a lot of success with our partners and we've got a great team around us in all aspects and we'll see where this takes us.
Julio Romero: Understood. I appreciate you guys taking the follow up questions and best of luck in the first quarter.
Bret Eckert: Thanks, Julio.
Operator: Thank you. Our next question comes from line of Brent Thielman of D.A. Davidson. Please go ahead.
Brent Thielman: Hey, thanks for taking the follow up. Daniel, I mean, tough results for aluminum. I guess anything to point to for that product line that may suggest we're seeing some stabilization?
Daniel Jones: Yeah, aluminum is a -- it's an odd product comparatively speaking to copper. Copper is mined and aluminum is manufactured. And there's no secret we've always focused on copper. We do a very good job in aluminum. It's a tight market, no question. There's a big influence from a pricing perspective, not to the positive. When the importers have inventory, I don't think it's any secret that they lead with price. We pick and choose our spots. We've got fantastic partners in the market that we do great with on aluminum, but we're not going to chase our tail on some of those projects, that fringe projects a lot of times that end up going to the discounters. And not my style to cut price. Our model is about service. It comes and goes ebbs and flows, but it's a product that we do very well in. We have to have it. It's still very profitable for us. And it's just a little bit more volatile than it has been in the past. And the government's looking into things as they have in the past. And it's just a constant fistfight on that product category. But the XLPE plant, the addition of that will give us a little bit more strength, a little bit more control over where we go with that product and direct that market a little bit better.
Brent Thielman: Okay. And just on the CapEx, maybe, Bret. Could you just differentiate the sort of maintenance sustaining CapEx versus growth CapEx and that outlook for year '24?
Bret Eckert: Yeah, I appreciate that because -- appreciate the angle you're taking with that. And it's one that, again, you got to say, give me your definition of maintenance CapEx, right, because we spend $40 million to $60 million in any given year, right, that I would call maintenance CapEx. But I'm going to tell you that's vastly new machinery and equipment, right. We don't like to retire equipment. We like to find a spot on the floor and bolt another line next to it, right, as you go through it. So you're always evaluating your current machinery and equipment. You're working closely with our maintenance times to manage any sort of downtime. You're looking at line speeds in the new equipment versus the old equipment. You're looking at how much energy it draws and can something be more efficient on a go forward basis or safer? And those are decisions we look at as we look for repair, replace. That's what I include in that $40 million to $60 million. I think some folks would say just pure maintenance CapEx. It's much lower than that. But we consistently, if you look back in our capital, it would be anywhere from that $40 million, $50 million, $60 million and its consistently new machinery equipment over the years.
Brent Thielman: Okay, very good. Thanks, guys.
Daniel Jones: Thanks, Brent.
Bret Eckert: Thanks, Brent.
Operator: (Operator Instructions) Our next question comes from the line of Matt Jackson of Scopia Capital. Please go ahead.
Matt Jackson: Hey, how's it going? I was just hoping you could give the LIFO impact in the quarter? Was that a negative or a positive? Thank you.
Bret Eckert: Well, yeah, in the quarter and keep in mind you had an environment where copper was rising throughout the quarter. And so in the fourth quarter, it was a pickup of about just under $2 million. It was pretty significant. If you compare it to the third quarter, it was a pickup of about $5 million, that's just a product. It really is more of a balance sheet effect, right, because you're costing your orders at your beginning of month price and so depending on what copper does up or down, you're just adjusting to make your -- to match your revenue with your expenses within that month. And so it was a small pickup, but again it's -- because we turn our finished goods inventory over 12 times, it's the perfect hedge out there by the material change, the shape and ship it in the same month, you cannot beat that business model.
Matt Jackson: Thank you.
Operator: Thank you. There appeared to be no further questions at this time. Mr. Bret Eckert, I turn the call back over to you.
Bret Eckert: Bhavesh, thank you so much. I appreciate everyone's participation today. Thank you for your investment and your interest in Encore Wire. Enjoy your day.
Daniel Jones: Happy Valentine's Day.
Operator: Thank you very much. This concludes today's conference call. We thank you for participating and you may now disconnect.